Operator: Good morning, everyone. And welcome to the Shenandoah Telecommunications Second Quarter 2016 earnings conference call. [Operator Instructions] At this time, I will like to turn the conference over to, Ms. Adele Skolits, CFO. Please go ahead, Ma'am.
Adele Skolits: Good morning, and thank you for joining us. The purpose of today's call is to review Shentel's results for the quarter ended June 30th, 2016. Our results were announced in a press release distributed this morning, and the presentation we'll be reviewing is included on the Investor page of our Web site at www.shentel.com. Please, if you are reviewing the slides online go to investor.shentel.com and in the lower right hand corner you will find a listing for events and rather than clicking on view all, please click on today's date, August 5th, and the slides will appear. Please note than an audio replay of the call will be made available later today. The details are set forth in the press release announcing this call. With us on the call today are Christopher French, our President and Chief Executive Officer; and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we'll conduct a question-and-answer session. As always, let me refer you to Slide 2 of the presentation, which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you're strongly encouraged to review. You're cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statements. Also, in an effort to provide useful information to investors, we note on Slide 3 that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, are included in our SEC filings. These reconciliations are also provided in an appendix to today's slide presentation. I'll turn the call over to Chris now.
Christopher French: Thank you, Adele. We appreciate everyone joining us this morning. This was a very active quarter for us here at Shentel. Our closing as nTelos acquisition on May 6th, significantly increased our footprint and presence in the mid-Atlantic region. The combination result in a vastly different company and you'll see significant changes in our financial position and operating results when compared to prior periods. With the closing in May, the second quarter obviously doesn't include a full quarter results from the acquired business. There is also a significant change from nTelos's prior results as these markets transition from what was primarily a wholesale business which sprang into our traditional affiliate relationship. I'm pleased to say that the transition to one blended company is progressing very well. Network upgrades have continued uninterrupted and we made great progress on transition former nTelos customers onto this brand building system. In our presentation this morning, we'll point out the impact of the acquisition integration activity and attempt to give a view of the activity in both the legacy and acquired markets. On Slide 5, you'll see that adjusted operating income before depreciation and amortization or OIBDA for the quarter increased about 48% to $55.9 million. Revenues were a $130 million in the second quarter, a 52% increase from the prior year period. These increases were almost entirely due to the nTelos acquisition. As expected, we had a net loss for the quarter which primarily reflects the acquisition integration and migration cost we incurred. Our customer additions were very strong during the quarter for both our wireless segment and for our cable segment. Our wireless highlights begin on Slide 6. We saw a very significant jump in both prepaid and postpaid customer account as a result of the acquisition. We more than doubled the number of wireless customers making us one of the top six public wireless providers in the US. Our wireless segment adjusted OIBDA grew 61% to $45 million and our continuing OIBDA in the wireless segment which is adjusted OIBDA less the benefit received from the waves per management fee over the next six years grew to $39 million. Turning to Slide 7. Our cable segment continued to achieve solid growth during the quarter, resulting from the pass through of video cost increases and customers opting for higher speed data offerings. Operating revenue increased 9% to $26 million. Our cable adjusted OIBDA grew 28% to $7.3 million, further improving our margin. Customer demand for higher bandwidth data services, video rate increases and RGU growth at 6.7% drove this improvement. Slide 8, profile of the highlights of our Fiber and Tower businesses. Our fiber business continues to grow with our fiber lease revenues increasing 22% to $10 million. Our 177 towers generated $1.6 million in OIBDA from lease revenue. This is down slightly compared to the second quarter last year, a result of higher operating expenses with our expanded portfolio. Before it turn the call back to Adele, I want to comment on how proud I am of the entire team here at Shentel. Throughout the entire organization, everyone has done a great job preparing for and now implementing our integration efforts. This is a very exciting time in our company and look forward to the enhanced service coverage and capabilities that we can provide our growing customer base in the years to come. I'll now turn the call back to Adele to review the details of our financial results.
Adele Skolits: Thank you, Chris. I'll begin on Slide 10, which shows our changes in profitability. As we expected when we committed to the acquisition of nTelos, profitability dropped an all three matrix shown here. Chris has outlined a growth in our customer base that drove the growth in revenues of $44.6 million or 52% in Q2 '16 from Q2 '15. However, operating expenses grew by $69.5 million or 114% resulting in an operating loss of $6.2 million in Q2 '16 or a drop of $24.9 million over Q2 '15. Integration, acquisition, and migration cost grew by $22 million in Q2 '16, over the $400,000 spent in Q2 '15. The costs include professional fees for investment bankers, lawyers and others, severant handset replacements and the cost to operate the nTelos back off as until the customers have migrated to this Sprint back office and finally the additional retail store staff to support the migration process. This includes $2.3 million in expenses that were recorded in each of the cost of good and services filled and selling general and administrative line item as you'll see when you get our cue. During the previous calls, we estimated that these costs in combination with an additional $24 million of financing fees we had since capitalized with total $130 million to $150 million when the migration is complete in late 2017. And we continue to believe that this is a good estimate. The growth in customers along with more than 150% growth in sales side drove a $19.7 million increase in other cost and of goods and services sold. Others selling general and administrative expenses grew by $13.1 million. Predominantly, as a result of the increase in the number of PCS retail stores and paying Sprint separately for commissions that were previously included and the fees charged by Sprint and recorded as an offset to revenues. The final factor increasing operating expenses was growth and depreciation and amortization cost of $14.8 million in Q2 '16 over Q2 '15. We borrowed $810 million to fund the acquisition and an additional $25 million since then. As a result, we incurred an incremental $4 million in interest cost in Q2 '16 over Q2 '15. This in combination with the operating expense factors I just described, resulted in the net loss of $7 million in Q2 '16 relative to net income of $10.5 million in Q2 '15. Commensurate with the loss, both the basic and fully deluded loss per share were $0.14 in Q2 '16 relative to earnings per share of $0.22 and $0.21 respectively in Q2 '15. On Slide 11, you see that adjusted OIBDA grew by nearly $18.3 million or 49% to $55.9 million. In order to highlight the fact that the waiver of management fees will stop when the accumulative amount reaches $252 million. We had subtracted this waiver and shown continuing OIBDA of $49.8 million, which is an increase of 32% over Q2 '15. We expect the waiver cap will be reached in five to six years. Depreciation grew by $14.8 million in Q2 '16 over Q2 '15. This growth reflects the growth and tangible assets acquired from nTelos as well as the amortization of the assets representing the right to serve both the nTelos and Sprint customers in the nTelos footprint. Gains or losses on assets disposals had a negative impact of $266,000 and share-based compensation a negative impact of $351,000 on adjusted OIBDA. As I just mentioned, the terms we negotiated with Sprint and acquiring nTelos included their commitment to waive the management fees to which they would otherwise be entitled by up to $4.2 million a month until the accumulative total waive equals $252 million. In addition, Sprint agreed not to charge any management fee related to the customers served by this Shentel back office for the first six months. The waiver of fees in the near term is helpful and supporting the investment we are making to improve our wireless network. However, the benefits of the investment will be realized over the remainder of the initial term of the affiliate contract which runs to 2029. As a result, we made a straight line adjustment to recognize the impact of the waive fees evenly over the remaining 13.5 years of the initial term. This non-cash adjustment of $3 million is added back to drive adjusted OIBDA. The agreement stuck with Sprint also included the write to serve Sprint and nTelos customers in the nTelos footprint under the affiliate contract. We assigned a value to that expanded affiliate agreement and we reported amortization of $3.3 million associated with that asset in 2Q '16. This amortization is reflected as a reduction of service fees, and if the non-cash expense, we added it back to calculated adjusted OIBDA. As previously mentioned, we incurred an incremental $22 million in acquisition integration and migration expenses. On Slide 12, you can see there are all three segments made contributions to the growth in adjusted OIBDA. Adjusted wireless OIBDA has increased by $17 million or 61% while cable results have improved by $1.6 million or 28%. Wireline results have increased by $1 million or by 14%. On Slide 13, I've analyzed the changes in adjusted wireless OIBDA results between 2Q '15 and 2Q '16. We close on the acquisition of nTelos on May 6th of 2016. And immediately acquire the right to serve an additional 405,000 nTelos and Sprint postpaid customers. These new customers partially offset by a $1000 or a 1000 customer loss during the quarter and a 4.9% drop in average billing rates, resulted in growth in postpaid revenues of $27 million. Also, as a result of the acquisition, prepaid customer base grew by $157,000 or $150,000 on basic. This growth and the growth in prepaid billing rates of 2.6% partially offset by the loss of 69,00 customers during the quarter resulted in an increase in prepaid billings of $7.1 million. Sprint's agreement to waive certain management fees contributed to a $6.1 million improvement in adjusted OIBDA. The revised terms of the affiliate contract affective January 1st, 2016, included settling, travelling, travel expenses separately which had been embedded in a Sprint net service fees and those fees amounted to $4.2 million of incremental revenues in 2Q '16. Similarly, we now settle national sales channel commissions enhance that subsidy separately. And this increased cost by $7.2 million. We also operate an additional 40 retail stores as a result of the acquisition. This growth in combination with the growth of customers increased our postpaid acquisition cost by $3.6 million. Prepaid acquisition cost grew by $2.9 million has resulted the growth in customers. At the end of Q2 '15, we operated 546 sales sites. As a result of the acquisition, we operated 1425 sales sites at the end of Q2 '16. This increase led to a $3.4 million increase in network cost. On Slide 14, I've shown the components of the changes to adjusted cable segment OIBDA. The positive changes include significant growth and high-speed data revenues of HSD a $2.3 million as a result of a nearly 11% increase in average customers. In addition, the HSD customers are choosing higher speeds of transmission that carry higher service charges. Voice and equipment revenues are up $600,000 primarily as a result of an 8.7% an increase in average voice customers. Video revenues were up by $500,000 due to the 1.1% increase in video customers an increases in video rates which were driven by higher programming cost. Selling general and administrative cost dropped by $300,000 as a result of reductions impaired debt and operating taxes. Network cost have risen by a $400,000 as a result of incurring additional cost to maintain the network. Promotional and other discounts were up by $1.1 million driven by increases in promotional and bundling discounts related to all three service; video; voice; and HSD. Finally, programming cost rose by $600,000 in Q2 '16 over Q2 '15 as a result of the increase in fee rates demanded by content providers. On Slide 15, I've analyzed the changes in wireline results between Q2 '16 and Q2 '15. The sale of the leased revenue has grown by $1.7 million as a result in increased fiber sales within other revenue. Access revenues grew by $400,000 primarily related to growth as a result as having recorded unfavorable adjustments to universal service revenues in Q2 '15. The cost of goods and services sold increase by $1.2 million primarily related to the increase in fiber sale. At this time, I'll turn the call over to Earle to go into greater depths on some of the operating factors driving our result.
Earle MacKenzie: Thanks, Adele. This has been a very busy but exciting quarter. In my prepared remarks on wireless, I'm going to provide you details broken down between our legacy wireless business and the former nTelos area, which had both nTelos and Sprint customers. This will give you a bridge to compare how we are doing compared to our historical data and a point of reference to track our progress in our new service area. We'll provide a dual information for a couple of quarters but as we progress through our integration will show only combined data. On Slide 17, I've shown the reconciliation of the pre and postpaid customers between the end of the first and second quarters. You see the customers we acquired on May 6 from nTelos and Sprint, we have net postpaid additions in our legacy area of 3504 an a net loss in the nTelos area of 4823. For prepaid, we had a net loss in both the legacy and nTelos areas. As you recall, we are migrating all the nTelos customers over to Sprint back office. As part of that process, we are doing a consultive resale with each former nTelos customer and found 1260 prepaid customers that qualified and preferred to upgrade to a postpaid plan. So, you see the shift between the two columns. Postpaid legacy net add was 17% tablet and 83% were phone. As in previous quarters, in the legacy area, we had strong gains and boosts and losses of in of Virgin Mobile and insurance customers. You will see the impact on prepaid ARPU and churn on later slide. Through July 31st, less than three months since closing, we have migrated 50722 nTelos customers or 18% of the base. 9% of the migrated customers added an additional line. All of the prepaid migrations are to boost and the postpaid migrations have been 44% to new Sprint plan and 56% are remaining on existing nTelos plans. We're very pleased with the pace of the migration. With the taking about 30 minutes to migrate each customer. The customer reaction to the plan network improvements and the expanded options of being a Sprint customer have been positive. We're in the middle of rebranding all of the nTelos store to Sprint and should have that project completed before the end of the quarter. Slide 18, shows the postpaid gross add with the legacy area in Q2 2015 and for both areas in Q2 2016. All stats for the former nTelos area, only include activity since May 6th. In the legacy area, we had 16,620 postpaid gross add comparted to 17,734 in Q2 2015, since May 6, we have had 9565 postpaid gross ads in the new area. We had a net loss of 1319 postpaid customers, made up of the 3504 gain in the legacy area and the 4823 loss in the new area. We anticipate net losses of customers in the near area for several quarters as we are rebuilding the network and focusing a lot of effort on migrating existing customers. I have shown Q2 postpaid churn for our legacy the new area and combined. The churn chart at the lower right corner shows our legacy area churn for the four quarters entered in Q1 2016 and the combined for Q2 2016. You see that our Q2 legacy churn is lower than the previous four quarters and in fact the lowest we've ever recorded. Legacy area upgrades were 6.7% of the base for Q2. Our legacy are porting ratio was 1.7 to 1, taking share from all carriers. In the legacy area 40% of gross adds selective lease option, 36% installment sales and 24% to subsidized phone option. For upgrades in the legacy area, 38% selected lease, 29 installment sales and 33% the subsidized phone option. In our legacy area, 47% of the base is still on at subsidized phone service plan down from 51% at the end of Q2 Q1 2016. In the new area, upgrades excluding nTelos migration were 3.7% of the base since May 6. The new area porting ratio was 0.4 to 1. And the new are 42% of gross ads selected lease option, 37% installment sale and the remaining 21% the subsidized phone option. For upgrades, 40% selected lease, 33% installment sales, and 27 the subsidized phone option. 42% of the new area customers are still on the subsidized phone service plan. Slide 19, shows a decline in gross billed revenue per postpaid user from a year ago. The 2015 value is for our legacy customers only and the Q2 2016 value is a blended rate of the legacy former nTelos and former Sprint customers. Although, the data portion continues to grow at the percentage of total revenue, the total billed revenue is down $6.83 between Q2 2015 and Q2 2016. The decrease is the result of the industry turns of lower ARPU and a lower average post billed revenue for the former nTelos customers. On Slide 20, I provide some details on prepaid activity. Gross adds in the legacy area were 19.4000 in Q2 compared to 20,000 in Q2 2015. New are gross adds were 8000. You see the prepaid loss is broken down between our legacy and the new area, it ties back to slide 17. Prepaid churn is shown on slide 21. You see that legacy area prepaid churn is down at 4.7% compared to 5.1% a year ago. New area churn was 4.8% with combined churn at 4.74%. This percentage does not include the prepaid customers that migrated to postpaid. The combined average prepaid gross build revenue decreased in Q2 versus the legacy only average is shown in the earlier quarters. Although in the legacy area, we continue to add boost customers and this Virgin Mobile and insurance customers driving up the average revenue, average prepaid build revenue. The average prepaid revenue for customers in the new area is lower, pulling down the average. As we continue to move, the nTelos customers to boot, we expect to see the upward trend return. Slide 22, provides network stats in our legacy and new areas. You see there are legacy area stats remain in-line with previous quarters. We expect to have all the plan 125 2.5 gigahertz site in the legacy area in service before the end of the year, which will have a positive impact on our average data speed. We had a smooth transition on the construction side during the merger with nTelos and didn’t miss a beat. We are scheduled for the nTelos -- we are all scheduled for the nTelos upgrade. We still have 229 sites to upgrade, additional sites to retrofit with 800 spectrum for LTE employees along with the new coverage sites to build. Because the customers in the nTelos area have a lower percentage of LTE phones, those with LTE phones are getting better result. We will have decommission 66 overlapping sites by year end and the work to decommission the former nTelos ease market is substantially complete and when we finish in the new few months. Moving to cable on Slide 23, we had the expected net loss of 656 RGUs in Q2 due to the move out of our college customers for the summer. Looking at the detail, we had a net increase of 306 voice RGUs. Even with the loss of the college customers, due to the continued growth in high speed internet customers, we only had a net loss of 43 RGUs. We continue to have the decline in video RGUs with the loss of 919 in Q2. The upgrade of the colane systems in West Virginia are on track and will be completed by year-end. Slide 24, shows the average monthly revenue per RGU and per customer. During the past year, we ran a first and 13th month prepromotion and in the second quarter of 2016, a first and second month prepromotion. The negative impact of these promotions are in Q2 average revenue per RGU is approximately $2.25 per month. Adding back this promotion expense, provides a more accurate view of the ongoing revenue. The increase per RGU is because of the increase in video pricing in January and continued migration of our high-speed internet customers to higher speed packages. Slide 25, shows the number of homes passed and the number of users for each service as of Q2 2015 and 2016. During the past year, we've added 5815 high speed internet customers, 1691 voice customers and have added 657 video customers. The gain in video customers was due to the purchase of colane cable in January 2016 which had primarily video customers. Without the acquisition, we would have lost 2642 video customers in the past 12 months. Slide 26, shows some key wireline stat. As discussed in the past two quarters, we decoupled the requirement to have an access line to have our broadband product as of October 2015. We've seen a decrease of just over 2000 access lines but have added 1200 broadband customers including 700 cable modem customers. The increase in broadband revenues have offset the decrease in local telephone service. On Slide 27, you see the both affiliated and non-affiliate fiber revenues have grown over the past 12 months. We continue to sign $2 million to $3 million of fiber contracts per month with non-affiliated customers, including replacing existing contracts, upgrading at current contract or creating a new relationship. Several significant new contracts in Q2 were Harrisburg Virginia school systems, Giles County Virginia school systems, Sweet Briar College and the Virginia Community College system. Slide 28, is the same information on capital spending we provided last quarter. We still anticipate that capital spending this year will be approximately $218 million. We'll be able to provide a more accurate estimate during our next earnings call. I'll now turn it back to Adele.
Adele Skolits: For those of you looking for additional information, we expect to file our 10-Q on Monday. This concludes our prepared remarks. Sheen, would you now review the instructions for posting a question?
Operator: Absolutely. [Operator Instructions] We'll go first to Rick Sanchez of Raymond James. Your line is now open.
Rick Sanchez: Thanks, good morning.
Christopher French: Good morning.
Adele Skolits: Good morning.
Rick Sanchez: Hey, obviously nTelos transaction creates a lot of moving pieces by a lot of nice opportunity. Couple of questions and we do appreciate all the details you guys have provided. Earle I think you mentioned I think I heard 18% of the space has migrated by the end of July is that fairly well split between post-paid and pre-paid or and then what’s the pace you expect that to move towards complete migration?
Earle MacKenzie: That is correct. We migrated about 50,000 customers if you split it it's about 35 post and 15 pre which is it's about in the same ratio that we have customers. So we are seeing kind of a systematic moving at this point. The pace is a little faster than we actually anticipated. We have actually had – we haven't had to do awful lot of advertising or pushing customers into the store social media is helping us a lot as people are having a good experience, they are putting it out there on social media and other people are coming in. we have been able to staff up so that the lines are relatively short. If they are long we are getting people come back at a later time to make that positive experience. I think the pace will continue at probably close to 750 to 1000 a day is what we are seeing most days. That may during the holiday period we are kind of expecting that migration may go down during that period of time but then we will pick back up after the first of the year. At this point assuming that we get the [indiscernible] door I am really optimistic that we may be able to finish this up as early as the end of the third quarter but we are still targeting the end of the year next year.
Rick Sanchez: Okay. And then on the financial side, the integration I guess you would call integration acquisition migration cost target of $130 million to $150 million Adele I think I heard you say that the $24 million financing feels now been capitalized so should we take that out of the 130 to 150 to think what’s affecting EBITDA?
Adele Skolits: Yes.
Rick Sanchez: Okay. And as we look at you provided nicely the pro forma 1Q numbers are you considering in the 10-Q providing what 2Q would look like pro forma for the acquisition that have been there the whole time?
Adele Skolits: We are not and the difficulty with that Rick is the very different business models we operate under that would make apple to oranges comparison and then the slow migration provides even more moving parts. So frankly our focus has been on very robust and transparent analysis and you will see that also in the Q so that you can follow all those moving parts rather than trying to recreate history.
Rick Sanchez: Okay. And then obviously a lot of moving pieces seen historically you guys have provided guidance on the CapEx line any thoughts towards moving towards like an EBITDA guidance as we try and think through what this business looks like in calendar 17?
Adele Skolits: We have considered that Rick. We remain committed to taking a long term focus on the business and believe that those kind of guidance factors focus management too much on the short term and not enough on delivering long term results.
Rick Sanchez: Okay. Well, as long you keep giving us all these extra details and the 10-Q fine reading that will help. Final question from me I know it's a lot of questions. I apologize. CapEx is something you provided guidance in the past. Earle obviously mentioned the 281 million or so this year, sorry 218 million for this year, how do you think about CapEx for 2017 and then 2018 as you make it through the final migration and updated the sites and what normal might look like say by 2018?
Earle MacKenzie: When we have already announced that our expectations that we are going to be spending 214 million over this year and next for the Intelo upgrade so it will there will still be pretty robust CapEx for next year. I think if you just kind of assume 240 unless what we are paying – what we have assumed this year and leave everything else consistent it's a pretty good number for 2017. If you look at 2018 I believe that we will back down on the 110 to 120 million range.
Rick Sanchez: Great, that's very helpful. Thanks guys.
Operator: And our next question comes from the line Barry Sine of Drexel Hamilton. Your line is now open.
Barry Sine: Hey, good morning folks. So I wanted to also ask a number of questions on the conversion. I guess first of all that 80% that's pretty good. So congratulations on that. It seems like you are going really well. I think you have said that you have converted about 50,000 customers over if I look at I think at FY 17, you also lost what is about 11000 customers in that area. Where are those customers going? What is the experience the customers are facing when they come into a store obviously they need to do phone or they face with having to pay more for the phone subsidizing that and what is your outlook? I know Earle said you expect to have subscriber in the Intelo’s market for the next several quarters but if you give us a little flavor not just like converted but those that you are unsuccessful on whether …?
Christopher French: As far as they are experienced when they come into the store, they really have two options. If they are satisfied with the vintage of phone that they have we are basically giving them a sprint version of their phone in most cases. So for instance if they have a galaxy 5 or galaxy 6, we are giving them a sprint version of galaxy 5 or 6. If they would prefer a newer phone then they have the option to upgrade at that point in time and they can use all of the resources we have. They can put it on a lease they can put it on installment plan or they can take subsidized phone plan. So actually we are getting very good response from the customers as far as the phone treatment because it isn't costing them anything unless they choose to have it cost them something. As far as the experience itself, we have on average they are there for about 30 minutes to most of that is transferring the information in their existing phone to their new phone but during that time we do take the time to talk about their data usage, and about the various sprint plan versus the Intelo’s plan there on and as I said almost 45% of them are moving to a sprint plan. As far as where the others are going it's fairly evenly divided between AT&T and Verizon maybe Verizon taking up slightly higher percentage of those customers. And what’s interesting is Verizon has been running the full page ads basically sense closing and encouraging customers from Intelo’s to join them and as we look back over the months prior to closing and these the months now their number of customers are taking reporting is about the same or even maybe a little less. So we really had the falling nice when we took over these markets. They were losing customers. We are working now to slow that loss we are just being realistic that it's going to take a couple of quarters and the continued improvement in the network for people really believe that there will a change. But we are doing everything we can to support the customers and I think they will be back in the growth mode within a couple of quarters and be back to where we started by the end of next year. So this is how we anticipated the curve to look and so far we are at or ahead of where we would thought we would be and to be perfectly honest we never thought we would have 50,000 customers migrated in the first 90 days. So I mean that’s really been the plus from our standpoint and obviously the faster we can get those customers migrated and can migrate fully to the affiliate model the better the bottom line is going to look.
Barry Sine: And speaking of the bottom line, I think you have disclosed that your cost during the quarter towards back office of about $2.3 million, so 1.15 million per month just want to get some visibility on that. That's the presumably that's the more of a fixed cost so that cost is going to continue until it doesn't and – it drops to zero after the end of 2017 can you give us some visibility on that?
Adele Skolits: Yes. That cost will include the customer care operation, the billing cost and the network operating center that we have to maintain down in Waynesborough in the interim and you are absolutely right we would expect that Sprint would assume all of those cost that the by the end of 2017 when all the customers are migrated.
Barry Sine: And is that a pretty good run rate that 1.15 per month or is there factors in that rollout?
Adele Skolits: I think as the number of customers on the old systems diminishes we will be pairing back the customer care operations particularly and the billing cost is directly related to the number of customers. So I would expect that that would diminish overtime.
Barry Sine: And then, the larger integration cost I think you said 20.1 million at the quarter. Could you give us sense of what’s in there and then what the glide slope on that is I guess over the next six quarters that will awesomely good as trying to get 2018 but what is the glide slope on that look like. Was there a lot of upfront cost now that maybe that won't be quite so high in the next couple of quarters?
Adele Skolits: Sure could. Yes 9.5 million of that 22.4 is severance and so while people will be let go overtime as I just described it will substantially less than 9.5 we incurred in this quarter as we got rid of a lot of the executive team and so forth. So that's the most substantial part of that. 4.3 million of it is investment and legal fees actually closer to 5 million of it or more. So that's obviously not going to continue. Migration handset is about $3 million. And then the remainder is the departments that we have talked about as well as some other things.
Barry Sine: Okay so it does fall off pretty quickly?
Adele Skolits: It sure does. Yes.
Barry Sine: Okay that's very helpful. Okay I won't take up any more questions. I will leave somebody else to. Thank you.
Adele Skolits: Thank you Barry.
Operator: Our next question comes from the line of Amy Young of Macquarie. Your line is now open.
Unidentified Analyst: Hi, this is Aleksandra for Amy. So my first question is combined legacy post-paid trend this quarter was 1.56 what should we expect in 2Q and how will the iPhone 7 impact metrics?
Christopher French: Your guess on the iPhone is as good as mine. What we tended to see, what we are tended to see is kind of when there are major changes and major enhancements in the iPhone there is more interesting upgrading. When the changes have been rather minor we haven't seen that kind of shift. So I think once we clearly understand all of the features and changes it might happen in the iPhone 7 we can have a pretty much better guess. As far as churn we don't know of anything specifically that will cause churn to change dramatically from where we are today. It's going to continue to be elevated in the churn area as we are doing the construction but we are seeing good stability in our churn rate in our legacy area.
Unidentified Analyst: Got it. Thank you and another one if I may as you read with broadband and more standalone broadband services to market your key board services how do you think that will impact -- is it harder to reach prices of the standalone product and how strategic is video and could you look to launch an OTT offering in the future?
Christopher French: So broadband is – standalone is the easiest sale in cable at this point and also most profitable because what we do in our bundling strategy is if you bundle a second product with the broadband we give you $20 off the second product. So a standalone broadband customer is by far the most profitable customer we have. As far as over the top we haven't embraced over the top almost since day one. We do not own any content. The content that we offer are linear video. It's extremely expensive we spend about $0.65 of a dollar for the video content. And so we encourage customers and make it as easy as possible for them to go over the top and the part that we like about them going over the top is normally they will match that with the higher speed, higher capacity broadband connection which is even more profitable for us.
Unidentified Analyst: Got it, thank you very much.
Christopher French: You are welcome.
Operator: And our next question comes from the line of David Dixon of FBR Capital Markets, your line now open.
David Dixon: Thank you for that. Good morning Earle and Adele. I had a question just on the right of the postpaid decline in the new area, in [indiscernible] area, I think it’s part [indiscernible] to be converted and it looks like 11,000 losses from the new area of this quarter which is about 20% loss straight. So I am just curious if we should expect that to maintain that trajectory, that loss rate or are you getting better at how you're pitching the Shentel opportunity to these customers you get through 80% of the base, so maybe we can expect that to improve somewhat from here.
Earle MacKenzie: We definitely seen improvement. [indiscernible] there. We have seen an improvement in June and existing and continued improvement July. So although I believe that will probably still be the net loss for the next couple of quarters, we don't anticipate being at 11,000 rate.
David Dixon: Okay, what’s [indiscernible] just been standardizing the pitch across the company?
Earle MacKenzie: Yes, think about it David, we basically had to train the nTelos, the customer and customer service and the store people on Sprint plan, kind of on the ply while they were still nTelos, a customer employee and so although it was a smooth relatively smooth transition from the 6th to 7th and we went from selling nTelos plans to Sprint plans in those stores, there has been a learning curve. And I think we now have had 90 days to Shentelies, the force and I think at that point we feel pretty comfortable that they now understand how to sell the Sprint product, how to talk about what's happening and what's going to happen and we now be able to put some advertising into the market. You have to remember that we had no control of really what the message was up until May 6, and it takes a while, whenever you put a new message into a market it takes a while for that to catch on. So it's there's no one big thing is just a lot of small things that we're doing trying to do the right thing every day and will continue to see the improvements.
David Dixon: So the [indiscernible] look for the new will remain elevated but it will improve progressively as expectation.
Christopher French: Yes and also the port in port out I mean we had 0.4 to 1 that never had a situation where we have been in that kind of negative porting position but that was the position that both the existing sprint stores and nTelos had prior to our acquisition. And so once again it's difficult to make those changes overnight but I am optimistic.
David Dixon: Okay. Great. And just looking bigger picture now could you update us on just how the team is going in directions with Sprint just trying to get update on expectations for the next field if you could characterize the discussions the areas you might be suggesting, the sizing of the timing, just giving a sense of how Sprint can do another deal. There has been some changes on the sprint side broader team is now in task with collaborative work with some of the rural telcos to establish better partnership so -- can you give us an update that will be helpful.
Christopher French: Well, to your last point first, we have been getting some phone calls more so that the normal over the last 60 days from groups that are considering expanding their relationship with sprint. So we have been positive about that because we feel very positive about our current relationship with sprint. As far as expanding the area, those discussions are going forward. I think what the best way I would characterize it is probably going to go relatively small initially to kind of lay the ground work of how we might continue expand that relationship but then once the ground work is laid it will set the stage for continued expanding our relationship with sprint. And hopefully we will have something to share this year.
David Dixon: This year okay good. That's on that so rather small initially. One thing you had said in the past was you think the team is fully engaged with the nTelos now maybe you can get on the small deal done, but in general are you thinking at operationally the firm is kind of restricted to doing one significant deal in nTelos like deleveraging couple of years?
Christopher French: No I don't think the way we restrain at all. It's just basically you have to have the right deal come along and if the right deal comes along we will evaluate it see if it's good for the shareholders. If we are – if it's good for the shareholders we will find a way to get it done.
David Dixon: Okay that sounds a bit different. That's more encouraging actually. Is that you have gone through learning curve now with nTelos and a bit more conference now in terms of being out get the next deal done early then expected?
Christopher French: Well, I think two things number one we had the planning has gone well and execution has gone well. And additionally we have been able to broaden the bench with some of the folks we brought on from nTelos that's always a plus when you look at an acquisition like nTelos they had a lot of talented people and we were able to bring on several vice presidents and number of directors in key roles and have allowed us to have a deeper bench which will allow us to do more things in the future.
David Dixon: Okay, great that's great. Thanks for the update.
Christopher French: You are welcome.
Operator: And our next question comes from the line of Hamed Khorsand of BWS Financial. Your line is now open.
Hamed Khorsand: Good morning. Could you talk about the migrating customers? Are you seeing much of the increase in ARPU?
Christopher French: Well, for those who are staying on their same plan which is 55%-56% no. Generally nTelos has a lower ARPU than we had in our legacy area specially in the last six to eight months they were pushing at $25 plan which obviously pushed down their average revenue. What we have agreed to is to allow the customer to migrate on their current plan for one phone cycle. So, when they upgrade the next time, they will not be able to remain on their nTelos plan. They will have to move to a sprint plan. So as far as those customers are concerned we are seeing no increase at all. When you look on the one that have migrated to sprint the answer is yes often that is increased because what we have done is we have increased their data usage as I mentioned 9% of those migrating have added the line. And when they have added the line they have added the line under a sprint plan not on nTelos plan because we are not adding any additional customers under the old sprint plan -- adding any incremental customers on the sprint. So yes I think we will see is an improving ARPU from the nTelos space but it won't happen all migration. It will happen migration plus over the next two years.
Hamed Khorsand: So is this ARPU rate is increasing for those migrating? Is that at or near 100% as far as incremental profit to you on the difference in ARPU?
Christopher French: Well, once again you have to look at. It's a different model. These customers if they stayed under the old nTelos plan we pay 16.8% if they move to a new sprint plan we are paying 16.8% so yes if they are paying more than what they were paying at nTelos virtually all of that is margin.
Adele Skolits: 16.6% it’s 8plus 3.6
Hamed Khorsand: Yes. Okay and my other question was how much broadband customers are paying for larger bank with capacity? How much run rate of growth do you have there?
Earle MacKenzie: Well. our average broadband customers paying us in the low 60s if and then if you look at the price that we offer we charge $199 for 100 meg. So we are continuing to see virtually every month an increase in that average ARPU or broadband customers as and really what the big movement is, is we are moving customers who maybe have 10 meg up to the 15 and 25. we are not seeing a tremendous number of customers who are taking 50 or 100 but we are seeing a good shift monthly – month after month of those customers who are at and lower we actually have some who are lower than 10 moving up to the 15-25 level and so we will continue to see an increase in ARPU without even having to raise prices. In some point of time in the future we will consider increasing our pricing.
Hamed Khorsand: Okay. My last question is with this acquisition you increased your tower count to by 20 but it didn't look like you are monetizing the additional 20 is there a plan for that?
Earle MacKenzie: The number of tenants on the tower we acquired from an nTelos were basically one maybe just nTelos and actually there is some that we acquired because they are in the East markets of nTelos have no tenant today so we are going to be looking at those new towers and determining whats best going forward but they certainly are not typical of our current tower portfolio.
Adele Skolits: Earle right now we have an average 2.3 tenants a tower including ourselves.
Earle MacKenzie: Yes. So the average gets used by these kind of one off towers that you have to remember nTelos sold all of their valuable towers a number of years ago and then they did one of the somewhat valuable towers just before we acquired them and so the ones that we got left were really kind of the low value towers that they couldn't sell. So we are going to look evaluate how we can increase the tenants on those or may end up exposing some of them. But we are looking at that right now.
Hamed Khorsand: Okay. Thank you.
Earle MacKenzie: You are welcome.
Operator: I am showing no further questions in the queue at this time.
Adele Skolits: That's all we have. Thank you for participating. If you have any additional details you like to see on future calls please let me know. My contact information was provided on the press release.
Operator: And again ladies and gentlemen this does concludes today's conference. We thank you for your participation. You may now disconnect.